Operator: Good morning, and welcome to the AGNC Investment Corp Third Quarter 2017 Shareholder Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Katie Wisecarver in Investor Relations. Please go ahead.
Katie Wisecarver: Thank you, Allison, and thank you all for joining AGNC Investment Corp third quarter 2017 earnings call. Before we begin, I would like to review the Safe Harbor statement. This conference call and corresponding slide presentation contains statements that to the extent they are not recitations of historical fact constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All such forward-looking statements are intended to be subject to the Safe Harbor protection provided by the Reform Act. Actual outcomes and results could differ materially from those forecast due to the impact of many factors beyond the control of AGNC. All forward-looking statements included in this presentation are made only as of the date of this presentation and are subject to change without notice. Certain factors that could cause actual results to differ materially from those contained in the forward-looking statements are included in the Risk Factors section of AGNC's periodic reports filed with the Securities and Exchange Commission. Copies are available on the SEC's Web site at SEC.gov. We disclaim any obligation to update our forward-looking statements unless required by law. An archive of this presentation will be available on our Web site and the telephone recording can be accessed through November 9 by dialing 877-344-7529 or 412-317-0088, and the conference ID number is 10112675. To view the slide presentation, turn to our Web site, agnc.com, and click on the Q3 2017 Earnings Presentation link in the lower right corner. Select the webcast option for both slides and audio, or click on the link in the conference call section to view the streaming slide presentation during the call. Participants on today's call include Gary Kain, Chief Executive Officer; Peter Federico, Executive Vice President and Chief Financial Officer; Chris Kuehl, Executive Vice President; Aaron Pas, Senior Vice President; and Bernice Bell, Senior Vice President and Chief Accounting officer. With that, I'll turn the call over to Gary Kain.
Gary Kain: Thanks, Katie, and thanks to all of you for your interest in AGNC. We are very pleased with AGNC's performance during the quarter as we were able to generate an economic return of 5.6%. As importantly, we continue to be excited about how AGNC is positioned going forward against the backdrop of the Fed beginning the process of gradually tapering its reinvestment activity. During the third quarter, the key themes from prior quarters remained in place, with continued strength in equity and credit-centric fixed income markets, and very limited interest rate volatility. Interestingly agency MBS spreads tightened meaningfully in September despite the Fed's announcement of its plan to taper reinvestments. This performance drove the increase in our net asset value over the quarter, and clearly corroborated the position we noted on our last several earnings calls, that the MBS market had already priced in to reduce support from the Fed. Despite the spread tightening, levered risk-adjusted returns on agency MBS positions continue to look reasonable in absolute terms, and attractive relative to both equities and other fixed income products. With that as the introduction, let me turn to slide four and quickly review our results for the quarter. Comprehensive income totaled $0.99 per share. Net spread income, which includes dollar roll income, was $0.62 per share net of catch-up am. Our net spread income remains solidly above our dividend, and the decline from the prior quarter was largely a function of timing differences between the reaction of three-month LIBOR and of our agency repo and dollar roll book to the June rate hike. Incremental hedging activity and slightly lower leverage were also factors. For comparison, net spread income was only down slightly from the $0.64 we reported for three straight quarters from Q3 2016 through Q1 of this year despite multiple Fed rate increases. Tangible book value per share increased 2.8% to $19.78 during the quarter. As I mentioned earlier, economic return was positive 5.6% in Q3 or almost 10% year-to-date through September 30. Turning to slide five, our at risk leverage declined slightly to 8.0x tangible book. Our portfolio grew to almost $73 billion as we raised approximately $735 million in new common equity and another $142 million in net preferred stock. The common equity was accretive to tangible book, enhanced our scale and common stock liquidity, and further improved our already industry leading operating cost structure. Inclusive of the fee income from managing MTGE, and taking into account the equity raised, AGNC's all-in operating expenses were less than 65 basis points of quarter end equity, or around eight basis points of gross assets on an annualized basis. This larger scale increases AGNC's annual operating cost advantage over our peer group average to around 110 basis points. Even assuming no further capital raises or changes in operating costs, this represents a recurring 110 basis points annual economic return benefit. If you compare two identical hypothetical REITs with a difference of 110 basis points in annual operating expenses, you would expect the lower cost REIT to trade at a substantial premium on that basis alone. If we were to assume a duration or a multiplier of 10 for the 110 basis points of cost savings, this would translate to a theoretical price-to-book premium of 11%. We believe that this cost structure advantage should translate into a meaningful valuation premium for AGNC. And that's before any consideration of AGNC's best-in-class returns since inception, greater size and liquidity relative to most of the space, and overall transparency. At this point, I'd like to turn the call over to Chris to discuss the market and our agency portfolio.
Chris Kuehl: Thanks, Gary. Turning to slide six, you can see that shorter term rates were slightly higher quarter-over-quarter, while longer-term rates were essentially unchanged as the yield curve continued to flatten. If you recall last quarter, we highlighted the underperformance of agency MBS versus other fixed income sectors against the backdrop of strong fundamentals such as attractive funding markets for levered investors, low prepayment risk, and low levels of interest rate volatility. Each of which we expected to be supportive of agency MBS spreads. The combination of these factors, in addition to attractive relative valuations led to reasonably strong performance during the third quarter despite the Fed tapering announcement. And as Gary mentioned, while absolute spread levels are tighter, we think that agency MBS will continue to perform well given the aforementioned strong fundamentals and attractive relative valuations that remain intact versus competing fixed income products. Let's turn to slide seven. The investment portfolio increased to $72.5 billion as of September 30, as we fully deployed the capital raised during the third quarter. The composition of our asset mix was relatively unchanged quarter-over-quarter as we continue to carry a sizable TBA roll position given the backdrop of low prepayment risk and favorable dollar roll financing. I'll now turn the call over to Peter to discuss funding and risk management.
Peter Federico: Thanks, Chris. I'll begin with our financing summary on slide eight. Our repo funding cost at quarter end was 136 basis points, up from 127 basis points the prior quarter. As repo rates during the quarter fully reflected the Fed's June 14 rate increase. Similarly our aggregate cost of funds, which includes the cost of our repo funding, the implied funding cost on our TBA position, and the cost of our pay fixed swaps also increased during the quarter to 146 basis points, from a 131 basis points the prior quarter. This increase was driven by three factors. First, as I mentioned, repo costs were higher throughout the quarter in response to the Fed's rate hike. Second, there was only a small decrease in cost associated with our pay fixed swaps during the quarter as three-month LIBOR, which drives the rate we receive on our swaps, increased by just three basis points. And lastly, consistent with the growth in our asset portfolio, we shifted the composition of our hedge portfolio to include a greater share of longer-term swaps. Looking ahead I would expect our cost of funds to be more stable in the fourth quarter as repo rates relative to LIBOR have improved somewhat. Turning to slide nine, I'll briefly review our hedge portfolio. Given the increase in our assets, our hedge portfolio increased by $4.1 billion over the quarter, with the increase being split relatively evenly between longer-term pay fixed swaps and treasury hedges. As a result, our overall hedge ratio remained very high, at 92% of our funding liabilities at quarter end. On slide 10, we provide a summary of our interest rate risk position. As shown on the table, the hedges that we added during the quarter allowed us to keep our duration gap unchanged at 0.4 years. Additionally, as we show, our duration gap remains well contained across a wide range of interest rate scenarios. Should interest rates increase by a 100 basis points, for example, our duration gap would widen to only about one-and-a-half years. Given that our asset portfolio would be close to fully extended in that scenario with 10-year rates at or above 3.25% we would likely be comfortable operating with a larger duration gap, all other things equal. With that, I'll turn the call back over to Gary.
Gary Kain: Thanks, Peter. And at this point, I would like to open up the call to questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question will come from Doug Harter with Credit Suisse. Please go ahead.
Doug Harter: Thanks. Gary, I believe you mentioned something about this, but it looks like the relative profitability of the TBAs came down in the quarter. Can you just talk about what was behind that, and kind of how you see the relative attractiveness of TBAs versus specified pools [ph] today?
Gary Kain: Yes, just quickly at a very high level on the TBA front, remember that the TBA dollar roll income number doesn't include any hedges, so it really is the asset yield kind of net of implied funding cost, and so the bulk of that decline in TBA income related to just the rate increase in June kind of being fully reflected in the third quarter. So that's the majority of that. There are other implications. There are composition variables. There's also kind of implied prepayment speed variables. There are other variables, but the bulk of it really was the reflection of the rate hike in -- from June that's reflected in this quarter's number, and really didn't affect last quarter's.
Doug Harter: So is that something that continues, and as we go into a possible rate hike in December that number could come down further kind of in the first quarter if that's fully reflected, all else being equal?
Gary Kain: That number will continue to come down based on that all things being equal. But remember that we do hedge the TBA portfolio, but the hedge numbers kind of flow through to the other -- through to the on balance sheet portfolio. So, again, when we quote -- like when Peter quotes the 92% hedge ration that includes hedges for the TBAs. So it's more of a geographic issue. And again, I think you should put this in perspective with the timing issues that we talked about, and when the hedges -- the hedges which react to three-month LIBOR are going to tend to reflect a rate hike a little sooner than the reset on either dollar rolls, which are basically monthly, and a lot of our repo, which is monthly as well. So, there are going to be some timing issues, but again we feel that in aggregate our portfolio is relatively well hedged for rate increases.
Peter Federico: Yes, Doug, this is Peter. Just to add to that, to the -- for example, to the extent that a 100% of our TBA position was hedged with pay fixed swaps, the carry on our pay fixed swaps would go down commensurate with the decrease in the dollar roll income. And that would show up in our other income line item of our income statement. So it's just a little bit of an income statement geography to the extent that it was hedged 100% with pay fixed swaps.
Doug Harter: That makes sense.
Chris Kuehl: The other thing -- and this is Chris. The only other thing I'd add is -- I mean, since the last time we spoke rolls has continued to trade well with respect to specialness versus other short-term funding markets. So currently implied financing rate or specialness of rolls on 30-year TBA coupons or the most liquid coupons threes through fours are in the area of around 10 to 25 basis points through repo. And so as long as we stay in this sort of low prepayment risk environment with attractive roll specialness we're going to continue to like carry in a relatively large TBA position. I think your other question was around TBAs versus specified pools. Generally speaking specified pool evaluations are fair, there's some opportunity that had incremental value there, but again, as long as we're in this low-risk prepayment environment it's not likely that we're going to convert much of our TBA position to spec pools, at least not in the current environment.
Doug Harter: Great. Thank you.
Operator: Our next question will come from Bose George with KBW. Please go ahead.
Bose George: Hi, guys, good morning. Actually just following up on the dollar rolls, just when you think about the spread differential now between dollar rolls and on-balance sheet investments, the 10 to 25 basis point number, Chris, you mentioned, is that kind of the way to think about it?
Chris Kuehl: Yes. Yes, that's really the key differential.
Bose George: Okay, great. Thanks. And then actually just in terms of incremental returns now after the spread tightening in recent September versus prior to that, how much has it changed, like what are current incremental ROEs that you're seeing?
Peter Federico: It's still low double digits, but they're probably down close to 2% from I think six months ago when we last put out the saving, but I think, again, this is interesting, it's where, for us, we still feel like net ROEs pre-convexity cost for -- on a levered position of agency mortgage for us net ROEs are still in the double digits just given our low operating cost.
Bose George: Okay, thanks. And then actually just one more on book value, just with the move in rates since quarter end, can you just give us an idea of book value trends since the end of the quarter?
Peter Federico: Yes, I mean, book value is maybe off a percentish as of Tuesday or whatever. So I mean give or take, so it's not a big move.
Bose George: Okay, great. Thanks.
Operator: [Operator Instructions] Our next question will come from Jim Delisle with Wasatch Advisors. Please go ahead.
Jim Delisle: Good morning, guys.
Gary Kain: Good morning.
Jim Delisle: Have you had any conversations along the way with any other people who manage indexes about the possibility of companies like yourselves reaching a certain equity and all that being included in the broader market indexes?
Gary Kain: I mean, we haven't had recent conversations along those lines, but I think that that is something that could happen going forward. But we're obviously included in some indices and not in others. And we'll certainly look at that over time.
Jim Delisle: And second question relating to TBAs, presumably if in fact the taper goes according to plan, one would assume that the specialty of TBA going forward would diminish a little bit. Have you given any thought for the glide path of TBAs going back more toward general market funding models?
Gary Kain: What I would just say quickly on that is maybe specialness weakens a little bit. But remember, even well before the Fed's purchase program there was specialness in TBAs. And it's there -- I mean, again, the main cause of the specialness is the fact that mortgages originated a couple months out -- originated and hedged a couple months out before they settle. And it's this kind of built-in hedging -- forward hedging on the part of originators that's kind of the initial impetus for the bulk of the specialness. And then yes, demand factors and float factors can also impact specialness. But what I would say is from where we are now; we don't expect a dramatic change in specialness over the course of the year. I think, again, where you would see that difference is when the Fed's done and they're not cleaning up the float, so to speak, if then we were to have a major rally I think that's where you're going to see a major difference in the specialness we saw last time during a high prepayment environment, let's say, versus this time if the Fed's no longer adding mortgages.
Jim Delisle: Great. Two questions and a comment, and the comment is great job getting the -- keeping returns high and expenses low. Thank you.
Gary Kain: Thank you.
Peter Federico: Thank you.
Operator: We have now completed the question-and-answer session. I would like to turn the call back over to Gary Kain for concluding remarks.
Gary Kain: Well, I would like to thank everyone for your interest in AGNC, and we look forward to talking to you next quarter.
Operator: The conference has now concluded. An archive of this presentation will be available on AGNC's Web site, and a telephone recording of this call can be accessed through November 9, by dialing 877-344-7529 or 412-317-0088 and the conference ID number is 10112675. Thank you for joining today's call. You may now disconnect.